Operator: Thank you for standing by. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Healthpeak Properties to Report First Quarter 2024 Financial Results and Host Conference Call and Webcast. [Operator Instructions]
 I would now like to turn the call over to Andrew Johns, Senior Vice President, Investor Relations. Please go ahead. 
Andrew Johns: Welcome to Healthpeak's First Quarter 2024 Financial Results Conference Call. Today's conference call contains certain forward-looking statements. Although we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, our forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our expectations.
 A discussion of risks and risk factors is included in our press release and detailed in our filings with the SEC. We do not undertake a duty to update any forward-looking statements. Certain non-GAAP financial measures will be discussed on this call. In an exhibit to the 8-K we furnished to the SEC yesterday, we have reconciled our non-GAAP financial measures to most directly comparable GAAP measures in accordance with Reg G requirements. The exhibit is also available on our website at healthpeak.com.
 I'll now turn the call over to our President and Chief Executive Officer, Scott Brinker. 
Scott Brinker: Okay. Thanks, Andrew. Good morning, and welcome to Healthpeak's first quarter earnings call. Joining me today for prepared remarks is Pete Scott, our CFO; and the senior team is available for Q&A.
 We are extremely pleased with our first quarter results, and our momentum is positive on every key metric. We increased our 2024 earnings guidance by $0.02 at the midpoint, driven by same-store results, outperformance on merger synergies and accretive stock buybacks. The merger has proven to be a meaningful positive catalyst for the company, and the integration is exceeding our expectations.
 Many public company mergers are done through auctions, which delays the ability to integrate the 2 companies. Our transaction is completely different. Neither company would have proceeded with the merger without high confidence in our ability to put the teams and platforms together in a way that 1 plus 1 could equal 3. That meant having extensive conversations on people, process, systems and capabilities before we agreed to proceed.
 Our integration planning was underway before we even announced the transaction. In the 6 months since that announcement, our combined team has done an exceptional job integrating every aspect of our business. The continuity and buy-in from JT and the senior team who joined Healthpeak has been critical to the integration, including key health system relationships.
 Property management internalization has been a huge success to date and is a good example of the merger augmenting our platform. Strategically, it was important to me that our own employees are interacting with our tenants every day. And financially, we're now capturing additional profit that flows through property level NOI.
 To date, we've internalized 10 markets, covering 17 million square feet. We chose to accelerate the rollout given our success to date, and we expect to internalize an additional 4 million square feet by year-end. Significant upside remains to be captured. We're evaluating 10-plus million square feet for internalization in 2025 and '26, which in aggregate, would allow us to internalize more than 70% of our total footprint. The positive feedback from the property managers on the ground and our tenants further validates the strategic decision to internalize.
 Let me take a minute on the value proposition in our stock today, which we think is compelling. The baseline is a strong balance sheet with a high-quality portfolio with 3% to 5% same-store growth and a mid-6% with dividend yield with a conservative payout ratio. Beyond that baseline, we've identified $80 million of NOI upside potential, none of which is included in our 2024 guidance from additional merger synergies and leasing up our active life science dev -- redev pipeline.
 We also see 30% upside by recapturing our discount to consensus NAV, which we expect to do through consistent earnings growth and smart capital allocation. Industry headlines notwithstanding, over the past 2 years, we grew AFFO per share by 13%, and we expect to continue growing earnings moving forward. 
 Moving to our Outpatient business. The fundamentals have never been stronger. Patient volumes are increasing, absorption is accelerating and new development remains low. That's driving strong re-leasing spreads, retention and NOI growth. In addition, progressive health systems have a strategic focus to grow their outpatient revenue. It's less expensive for payers, more convenient for consumers and more profitable for the providers. We have the premier platform and relationships to capture this outpatient growth, whether on-campus or off-campus at both locations are necessary to capture demand. We expect new supply to remain low given the cost of construction. Today, our triple-net equivalent rents are in the low 20s while most new developments are $35 to $40 per foot. 
 Turning to our Life Science business. IPO and venture capital funding have improved recently, which is driving demand for space. Our leasing pipeline today is up 80% from last quarter. We're increasingly optimistic that pipeline will generate lease executions for the balance of 2024 and into 2025. Roughly 70% of our pipeline is existing tenants, many of which are deals that don't come to the broader market, again, providing us a big advantage versus the new entrants who can't tap into an existing portfolio of recurring tenants. We're also seeing a massive reduction in new construction starts that should extend for multiple years, creating a far more favorable leasing environment for landlords. 
 Let me close with capital allocation. The strategic merger with Physicians Realty closed on March 1 and is accretive to our earnings, balance sheet and platform. Year-to-date, we sold $363 million of fully stabilized assets at a 5.8% cap rate, plus $69 million of loan repayments. The most recent sale was an R&D flex office portfolio in Poway, East of San Diego that we sold to an affiliate of the tenant in an all-cash deal for $180 million, which was a 6% cap rate. 
 We have additional asset sales in various stages of negotiation and execution, but given the environment, we'll provide details if and when they close. We took advantage of the disconnect in our stock price and repurchased $100 million of stock at an average price just above $17 per share, which represents an implied cap rate of 8%. The year-to-date asset sales are more than 200 basis points inside that level, delivering immediate value to shareholders. 
 Our remaining authorization today is roughly $350 million, and we'll continue to pursue buybacks as priority #1 on capital allocation, obviously, depending on our stock price and the arbitrage opportunity from asset sales. Priority #2 for capital is new outpatient medical development with key health system partners, provided their strong pre-leasing and a positive spread to our asset sales. This capital recycling would be accretive to asset quality and stabilized earnings. We do have an attractive pipeline of such projects today in the $200-plus million range. 
 Priority #3 is distressed opportunities in life science, which we are starting to see, especially development projects lacking capital and/or leasing traction. These would be purely opportunistic and could be done on balance sheet or via joint ventures. Most of the distress won't be interesting to us, as we'll focus on our own core submarkets where we can use our scale and relationships to drive outperformance.
 I'll turn it to Pete for financial results and guidance. 
Peter Scott: Thanks, Scott. 2024 is off to a great start. For the first quarter, we reported FFO as adjusted of $0.45 per share, AFFO of $0.41 per share and total portfolio same-store growth of 4.5%. Let me briefly touch on segment performance. Starting with outpatient medical, we reported same-store growth of 2.6%, driven by a positive 3.4% rent mark-to-market and an 84% retention rate.
 Our strong leasing activity continues. During the quarter, we signed nearly 1.5 million square feet of leases, and we have a backlog of 2.5 million square feet in active discussion, including 700,000 square feet under LOI. Importantly, we expect outpatient medical same-store growth to increase as the year progresses due to accelerating internalization and an increase in occupancy from continued leasing. 
 Turning to Lab. We reported same-store growth of 2.7%, driven by 3% plus contractual rent escalators and a 2.6% positive rent mark-to-market, partially offset by an anticipated tickdown in occupancy. During the quarter, we signed approximately 150,000 square feet of leases, and we have a robust leasing pipeline of nearly 2 million square feet. We have 455,000 square feet under LOI, positioning the second quarter to be one of our best lab leasing quarters in recent years. In addition, we also expect lab same-store growth to accelerate for the balance of the year as free rent from some large lease commencements burns off.
 Finishing with CCRCs, we reported same-store growth of positive 27%, driven by increased occupancy and rate growth. Occupancy in our CCRC portfolio ended the quarter at 85.2%, and we expect continued positive performance.
 Shifting to the balance sheet. We had a very active quarter. We successfully completed the assumption of $1.9 billion of debt with a weighted average interest rate of 4%. We closed on our newly originated 5-year $750 million term loan, which we swapped to a fixed rate of 4.5% prior to the recent spike in interest rates.
 And as Scott mentioned, we opportunistically repurchased $100 million of stock. Subsequent to quarter end, we fully repaid our commercial paper with proceeds from the Poway sale. Pro forma this transaction, our net debt to EBITDA is 5.2x. We have $3.1 billion of liquidity, no floating rate debt and AFFO payout ratio of approximately 75% and nearly $350 million of authorization left on our stock buyback program. 
 Finishing now with guidance. We are increasing our FFO as adjusted guidance range by $0.02 and tightening the range to $1.76 to $1.80. We are increasing our AFFO guidance range by $0.02 and tightening the range to $1.53 to $1.57. Our increase in earnings guidance is driven by 3 items: First, we increased same-store guidance by 25 basis points to 2.5% to 4%. Second, merger synergies continue to exceed expectations and are now forecast to be $45 million in 2024. Third, we have bought back $100 million worth of stock at an FFO yield in excess of 10%.
 One last note before Q&A, we published a revamped supplemental alongside our earnings release. You may have noticed that we streamlined the document and modified it to more closely align with how we view the business. We also added an NAV input page to assist with modeling, which we felt was important for our stakeholders.
 With that, operator, let's open the line for Q&A. 
Operator: [Operator Instructions] Your first question comes from the line of Josh Dennerlein with Bank of America. 
Joshua Dennerlein: I just wanted to follow up on your comment that 2Q should be one of the best quarters for lab leasing. Just -- I guess my first question on that is just how are rents trending on what you're signing versus maybe a few quarters ago? And then just what about TIs and concessions? 
Peter Scott: Yes. Josh, I can start with that. I think rent and TIs, as we look across our portfolio, it's been pretty steady for the last 6 months or so. As we look at market rents today, it's probably in that 5% to 10% premium when you compare it to our in-place rents across the portfolio, which is around $60 per square foot.
 On new lease deals, tenants are certainly seeking more turnkey space, which has increased the overall TI packages. But as I said, that's been much more steady the last 6 months or so. And I think from a lease term perspective, on renewal deals, we're probably seeing more 3- to 5-year in term. And then on new leasing deals, we're seeing more 7 to 10 years there. 
 And then obviously, the last piece I'll just say fundamentally is lease deals just take a little bit longer, especially as you price out the TI packages. So if a lease deal took 2 to 3 months to get done couple of years ago, it's probably closer to 6 months today, but we're certainly highly motivated to get our lab leasing pipeline, which has increased a lot over the last year or so converted from a pipeline into a lease transaction. 
Scott Brinker: Yes, Josh, I'd just add, our leasing costs have been really pretty modest. If you just look in the supplemental for renewal leases, our TI and LC has been 5% or less of the rental rate, and even for new leases, it's in the 10% range. I mean, it's really pretty modest and very low free rent as well. So I think we held in exceptionally well, just given the quality of the portfolio and the submarkets and the relationships. 
Joshua Dennerlein: I appreciate that color. And Scott, one follow-up for you. You mentioned you expect about 70% of the MOBs will eventually be internalized. How do you think about that 30% that you won't be able to internalize? Is that stuff you would eventually want to sell or maybe add scale in the market to get to a point where internalization makes sense? 
Scott Brinker: Yes. I wouldn't say it's assets we want to sell. It's more markets where we don't have significant scale. And then there are some markets where we have a big health system relationship where they prefer to use their own in-house property management firm, and Atlanta is a good example of that, that we still had market. The fact that health system wants to use their own people, we can live with that. 
Operator: Your next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. 
Austin Wurschmidt: Can you guys provide a breakdown of what's driving the increase to same-store cash NOI growth by segment? 
Scott Brinker: We didn't provide a breakdown, but I can tell you that all 3 segments are trending at or above the midpoint of the initial guidance. So we've got good traction across the board. Obviously, this particular quarter, CCRC was above. I expect that growth rate to normalize for the balance of the year. And then in lab and outpatient medical, I think all 3 quarters from here should be above what we reported in 1Q, but there's volatility quarter-to-quarter. 
Austin Wurschmidt: Yes. I mean, I guess, just specific to the cash same-store NOI lab guidance, I think it was 1.5% to 3%. Pete, you referenced there's acceleration through the balance of the year is through rent burns off, I think, related to the RevMed and Voyager deals you've highlighted. So I guess, can you give us a sense of what the magnitude of upside is there? And then also just maybe what the risks are that's holding you back from going ahead and raising that at this point in the year? 
Peter Scott: Yes. Well, I would say that the 25 basis point raise that we did this quarter on the aggregate same-store guidance certainly reflects the improved performance in lab. On the lab side, in particular, we've been pretty consistent in saying this, that at the beginning of the year, we will have a little bit of bad debt cushion incorporated into the guide that we put out.
 And as we look at where we are today and look at all the capital raising that's gotten done, we feel like we probably had too much of a cushion at the beginning of the year. So we've released a little bit of that. And then we are getting internalization benefit as well. So we're probably trending towards the higher end of that initial 1.5% to 3% guide number. The biggest headwind, and this is something that we've talked about, is just the fact that we did have an occupancy decline as we look towards full year 2023 compared to where we expect that to be in full year 2024. We do think we'll see an occupancy increase as the year progresses in our operating portfolio, but we're comparing that to the full year number last year. 
Austin Wurschmidt: Okay. Got it. That's helpful. And then I'm just curious, certainly, some of the VC funding and capital raising, you highlighted, have been positive, presumably for some of the leasing discussions in pipeline. I'm just wondering if there's been any change in those discussions or the pace with which things are moving forward on the leasing front and lab just given some of the added economic uncertainty and volatility we've seen in the capital markets. And then just maybe even as you think forward from here, I know it's been sort of the last 30 days or so, but any impact you see that having on sort of the future pipeline and decision-making. 
Peter Scott: I mean if you look, Austin, the capital raising has been at least year-to-date in '24 relative to year-to-date 2023, I mean, it's been up across every single category, especially on follow-on equity offerings as well as private placements that we fit into that bucket well. Certainly, there could be some risk going forward with interest rates going up. I think it's a little less rate-sensitive in the lab side of it and maybe cap rates in the world of real estate, and those private placements and follow-ons do take some time to come together.
 They're still happening. If you look across the last 30 days, the data will show you that even with the increase in rates, you're seeing capital flowing into biotech, the XBI is still holding up pretty well. Last night, there were some pretty good tech earnings as well despite the interest rate environment, so we still remain optimistic that, that capital raising environment has a pretty decent runway in front of it. 
Operator: Next question comes from the line of Juan Sanabria with BMO Capital Markets. 
Juan Sanabria: Just hoping you could talk a little bit more about the disposition pipeline, how much is potentially for sale and what you could expect to transact on and how those proceeds would be split between debt reductions to be staying leverage neutral versus buybacks from here. 
Scott Brinker: Yes. Juan, it's Scott here. We've done $350 million plus of pure asset sales year-to-date. The pipeline is at least that large, but it's a volatile environment as Austin just pointed out. So when we have clarity on transactions, we'll announce the details at that time, but it's certainly a big pipeline, more focused on outpatient medical, whereas the sales to date have been more life science or this R&D portfolio that we had in Poway. So yes, it's an active pipeline in terms of how the proceeds would be used. In large part, it depends on the environment in the stock price, in particular. That's been the highest and best use of capital in recent months just given where the stock was trading.
 If that continues to be the case, then that would be priority #1. If interest rates stay high or move higher, obviously, we could always delever even beyond staying leverage-neutral, which is just we, for sure, will do that. We won't lever up the balance sheet to buy back stock. So those are kind of priority numbers 1 and 1A. 
 And then in terms of playing offense, it would be primarily focused on outpatient medical development, where we are seeing some highly pre-leased core markets, core health systems, strong yields. And we feel like we should be recycling out some older assets with a little bit more CapEx and risk in exchange for those brand-new assets in the right markets, right systems. 
Juan Sanabria: And just as a quick follow-up on that question. You previously talked about $500 million to $1 billion of potential dispose. Is that still kind of a big placeholder in people's minds just to think about that going forward for the balance of the year? 
Scott Brinker: It's probably the right range. Yes. 
Juan Sanabria: And then just curious as a second question, just on AI, lots of discussions, not just in real estate on what the transition is going to mean for everybody. But just curious, when we think about the physical infrastructure plant in lab, what the incremental use of power may mean for CapEx or just the buildings being able to handle it? Just curious on your early thoughts as this kind of progresses and evolves. 
Scott Bohn: Juan, it's Scott Bohn. I think with AI, you are seeing some -- maybe some automation labs within the labs, but you still have -- the bulk of those facilities will have chemistry and biology in your atypical lab build-outs. So we aren't seeing a dramatic shift in any -- by any means in the build-outs for some of our tenants who are more AI-focused. Our buildings have a ton of power to them, have the infrastructure, they have the capabilities to handle any of those needs. 
Operator: Next question comes from the line of Rich Anderson with Wedbush. 
Richard Anderson: So nice beat on the synergies, typical, I guess, most REITs that's the low-hanging fruit of the story. But going forward is perhaps a little bit more difficult, which is the life science leasing that you've been talking about. I think $60 million of upside. Can you take a shot about what the timing of that is? It's not all next year. Could it be as far out into 2027? Or how long of a tail to the life science leasing do you think is possible here going forward? 
Peter Scott: Yes. Rich, well, as you mentioned on the synergies, I'll just start there, we do feel quite good about the trajectory that we're on, $45 million that we've been able to articulate we think we can hit this year. And we feel very confident in our ability to hit the $60 million run rate as we head into the next year. Obviously, the trickier part that you mentioned is on the leasing pipeline and especially those 3 marquee campuses. What I can say is that within our pipeline, we are having discussions on all of those campuses. I'd say some of those discussions are much further along than others.
 Realistically, if we signed a lease today or in the second quarter, it really wouldn't commence given some of the work we have to do until the earliest the beginning of 2025. So what I would say probably is it's high level, it's probably a 1- to 2-year period where we phase in and get to the full run rate there on the NOI. And it's probably the best guidance I can give you as we sign leases, and we're pretty good at disclosing those. We can try and get a little bit more specific on that number, but it's probably a bit in '25, a bit more in '26 and hitting that full run rate number probably towards the end of 2026. 
Scott Brinker: Rich, one of the things, I wouldn't characterize the synergies as low-hanging fruit. Most mergers actually don't achieve their projections. We've got a team of 300-plus people here that have been working on the clock to achieve those synergies. So hats off to them for making it happen. It was anything but low hanging fruit. 
Richard Anderson: I don't mean to trivialize it. Let's call it, middle-hanging fruit, right? So second question might be a tough one to answer, but I'm going to ask it anyway. When you think about the entirety of the transaction, including everything, including whatever the transaction fees were, if that's 3% of $5 billion, that's $150 million. When do you think the merger, the combination is truly kind of breakeven for the company when you take everything into consideration? 
Scott Brinker: Yes. I mean if you're just referring to like a payback period, I mean it's less than 3 years. If you just take the synergies in comparison to the upfront cost, but obviously, company valuation is based on future cash flows, not just 1 year. And we feel with high confidence we're going to achieve those synergies, and it is permanent. And if -- the discounted value of those future cash flows is many multiples of the upfront transaction costs, so it's certainly value-creating transaction from that standpoint.
 And then most important for me, for our Board, and the same for the Physicians Realty Board, is we created the best platform in the sector, and that has intangible benefits that will last forever. So hard to put a number on that, but we have that now. 
Operator: Your next question comes from the line of Michael Griffin with Citi. 
Michael Griffin: I was wondering if you could give some more color on the Poway disposition. You mentioned it's a mix of industrial lab and office space. Is the cap rate indicative of where lab might be trading today? Or were there some specificities given the asset mix that might warrant a higher cap rate? 
Scott Brinker: Yes, it wasn't really a life science property in any event. It's kind of a mix of uses, R&D, there's some manufacturing, some office, kind of an industrial footprint and build-out. In parts of it, it certainly wasn't traditional life science nor was it in the traditional life science market, so I wouldn't view that as a read through. I think it was a great price. That's why we sold it. So we were happy to recycle those proceeds into the balance of our portfolio. But yes, I don't think that's indicative of life science cap rates. 
Michael Griffin: And Brinker, where would you say kind of Class A lab space is trading these days on a cap rate basis? 
Scott Brinker: Yes. Hard to say. Cap rates are always tough in life science just given market rents versus in-place rents. What we did in San Diego, Torrey Pines, a couple of months ago, rents were pretty close to market. So that -- in that case, cap rate is more indicative of valuation. And that was in the low 5s, but it was also a premier submarket, brand-new building credit tenant. I mean, so if you're trying to make your list of A+, it was pretty much A+ across the board. So I'd say that's the low end of the continuum for life science. 
Michael Griffin: Got you. That's helpful. And then maybe could you add some commentary around supply, particularly in South San Fran, where I think we've seen kind of elevated relative to the other core markets. And how might your competitive set compare to market supply overall? 
Peter Scott: Yes. Maybe I'll just touch on supply for a second, Griff, because it is a good question, and I'm going to repeat a statement that we've been saying for a while and others have been saying as well, but not all new supply is built equally. And we do fully expect the incumbent landlords, which there's not a lot of that out there in the core submarkets to outperform. As we think just big picture, there are a lot of new entrants into the space over the last couple of years, not surprising because it was such an incredible moneymaking subsector in real estate for such a long period of time.
 But I think a lot of these new entrants, and I think a lot of the very poorly capitalized landlords that we see now, they just fail to underwrite this incumbent risk, and we think a lot of them will struggle. But as we look at each one of our core submarkets, when you look at the headline number that gets quoted by brokers, when we parse through the data, and we have included this in our investor presentation, the competitive supply going back to the fact that I said not all supply is created equal. What we view as competitive, and I think we're probably still conservative in what we include in that bucket as well, it's a very manageable number. 
Operator: The next question comes from the line of Michael Carroll with RBC Capital Markets. 
Michael Carroll: I wanted to touch on the life science LOIs that you kind of highlighted in the press release. I mean how many of those are true expansionary spaces that could be earmarked to push up overall occupancy levels within the space? 
Peter Scott: Yes. Well, maybe I'll just talk quickly about the overall leasing pipeline, Mike. I think that may be an easier way to answer your question, but our lab leasing pipeline today sits at around 2 million square feet, and all of those LOIs are included within that pipeline. Obviously, we have a pretty high degree of confidence those LOIs are going to turn into leases. But as we look at some of the parsing of that 2 million square feet, I'd say about 70% of that is with existing tenants within the portfolio. And then taking it even a step further, I'd say that probably 50% new lease deals, about 1 million square feet, would be new lease deals within the portfolio. And then the rest would be renewals. So a nice 50-50 split.
 And if you think about the amount of vacancy that we have within the portfolio across the marquee project, whether it be Vantage or Gateway as well as portside in South San Francisco, 1 million square feet within our pipeline of new lease deals actually matches up quite well with what we have as vacancy for new lease deals. 
Michael Carroll: And I guess related to that pipeline, how many tenants need to raise funds to kind of takedown that space? Or will any of those tenants decide to delay making decisions just given the increased volatility that we see in the capital markets over the past handful of weeks? 
Peter Scott: Yes. I'd say very few need to raise capital, if any. We wouldn't be having active discussions. In fact, you don't really have a lot of active discussions for deals that are contingent upon capital raising, those discussions tend to happen, at least today, after the capital has been raised. So I'd say that there's really no risk to that within the pipeline. 
Michael Carroll: And will those tenants delay making decisions? Or are they -- do you think that they could wait longer just given what's happened in the capital markets and the geopolitical landscape over the past few weeks? 
Peter Scott: No. Because, as I said, I think all those tenants have effectively raised capital if they needed to raise capital. Not all of them need to raise capital. There's some mid-cap and large-cap names in there as well. So I think the answer to that is no, they're not delaying decisions. It does take a little bit longer to get lease deals done today though, specifically as you price out the various TI packages and build-outs. 
Michael Carroll: Okay. And then just last one for me. I know there have been issues over the past year where the companies want to take down space, but the Boards of those companies have kind of vetoed it. I mean have the -- I don't know, do you know if the Boards have approved just the leasing that's currently in the pipeline? And do you think that they could potentially veto some of those transactions or at least push them out? 
Scott Brinker: I mean the pipeline is 30-plus tenants, so we'll refrain from going down the list, but the quality of the discussions today is much higher than it has been in the last 2 years. So we can't give you certainty on any of the stuff. And certainly, the geopolitical environment doesn't help at the margin, but I don't think it's a driving factor. The bottom line is the pipeline is massively bigger than it ever has been in the last 2 years, continues to grow, and the quality of the conversations is higher. 
Operator: Next question comes from the line of Wes Golladay with Baird. 
Wesley Golladay: Just want to follow up on the new lease conversation. Looking at the 1 million square feet, are you seeing any change in demand for first-generation space, any submarket standing out and any kind of categories picking up activity? 
Peter Scott: Yes. I mean I think the part of that I'd like to focus on is the submarkets. We never really exited or I should say weired outside of the core submarkets that we wanted to focus on. So in San Diego, it's Torrey Pines and Sorrento Mesa. In Boston, it's the Lexington 128 market in West Cambridge and it's really South San Francisco. And what we're actually seeing is a gravitation towards tenants wanting to be in those core submarkets. And I think some of those other submarkets that were not fully proven that irrespective of development done in those they're going to take a lot longer to lease up if they ever do lease up. 
Wesley Golladay: Okay. And then when you look at potential distressed opportunities, do you think you'll get any distressed pricing for those? Or is there still a lot of capital allocation in those great submarkets? And how would you look to potentially get involved? Would it be a JV, mezz-lending? Can you elaborate on that? 
Scott Brinker: It could be any of the above. It would be very opportunistic, but it would have to be in core submarkets. We really bring something unique to the table, which is our existing footprint, tenant relationships, broker relationships, et cetera. So we'll be very focused on particular submarkets, but we could be more open-minded on deal structure, but it would have to be opportunistic-type pricing. 
Operator: Next question comes from the line of Jim Kammert with Evercore. 
James Kammert: Just building a little further, if possible, on the lab leasing demand, it sounds like your pipeline is larger, these tenants have funding. Is that translating into any ability for landlords like yourself to kind of hold the economics in terms of TI packages and whatnot? Because if I recall, that was kind of being pushed more and more towards landlords in terms of $150, maybe to $250 and plus. Any comments there? And if you are still being required to pay those, are you able to get an economic return on that and effectively bake it into the rent? 
Scott Brinker: Yes. Our re-leasing spread in the first quarter was around 3%. It could vary quarter to quarter. But as we look at our current pipeline, the renewal spreads will be above that level in the aggregate, some higher, some lower, but on average, certainly above the 3% across the portfolio. We still feel like it's in the 5% to 10% range. And at least in recent quarters, the leasing and TI that we're putting into the buildings to drive those rents is very modest, around 5% of rent on renewal leasing and around 10% on new leasing. So those are pretty modest leasing costs across commercial real estate. 
James Kammert: Right. I'm sorry, I wasn't clear, but I meant like on asset brand new space, weren't landlords being required to put in $250 type of allowance and stuff to make the deal happen? Or am I mistaken? 
Scott Brinker: Yes. So for new development, that's true. I was speaking more to renewal and re-leasing spreads. But for new development, certainly, there's an expectation of turnkey or closer to it, which we've been talking about for the last year or so that we're actually having more success in the current environment on our second-generation space. It's turnkey in nature, but at a much more modest investment, but lower rent, lower OpEx, and no TI from the tenants. So that's certainly a big part of our leasing pipeline. But we are getting some interest in our development projects as well. 
Operator: Your next question comes from the line of Mike Mueller with JPMorgan. 
Michael Mueller: Just curious, how do you see tenant retention shaping up for the balance of the year? And where do you think the 96% operating portfolio occupancy could end the year? 
Peter Scott: Yes. Mike, it's Pete. Tenant retention, the headline number was a little bit lower, assuming you're talking just about labs, just because we actually had a subtenant that went direct, and we don't include that in the retention statistics. It was NGM that went direct on one of the Amgen buildings, and they have been a subtenant in that building for years. But the way we report it, we don't include that as the tenant was retained within the building. We report that as a new lease.
 Therefore, if you did include it as tenant retention, you'd be right around 60%. And I would say that that's probably a pretty good number, lab is always going to be a little bit below what we achieve in outpatient medical, which I think this quarter we put a number out there, we were 84%, which was pretty darn high. So I think the tenant retention number is a little bit misleading and you got to dig into it. And then occupancy... 
Scott Brinker: Yes. And then on occupancy, on the 96%, our view is that, that should pick up a little bit. In fact, I know there was a sequential decline from the fourth quarter to the first quarter. That was actually proactive termination we did at the towers building in South San Francisco, and we've actually already re-leased that space, it just hasn't commenced yet, so we don't include that in the occupancy number until the lease commences. So just if you factor that in alone, we'd expect the occupancy to tick up a little bit as the year progresses. 
Operator: Your next question comes from the line of Michael Stroyeck with Green Street. 
Michael Stroyeck: Could you just provide some color on the outpatient medical sequential occupancy decline during the quarter and just whether that largely came from legacy DOC or legacy peak portfolios? 
Thomas Klaritch: Yes. Really, you typically see -- this is Tom Klarich, but you see a decline from Q4 to Q1 pretty regularly because a lot of doctors hold over the holiday period and then when things settle down after the first of the year, they move out. So that's pretty typical. I wouldn't point to legacy peak or legacy dock as a cause for that. 
Michael Stroyeck: Got it. So I guess nothing really stands out in terms of like tenant credit, asset quality or anything else, just normal seasonality? 
Thomas Klaritch: Just normal rhythm during the year. 
Michael Stroyeck: Got it. Okay. And then maybe following up on the Poway disposition discussion, can you just help us understand how much of your portfolio is similar to these assets in terms of it not necessarily being traditional life science properties? 
Scott Brinker: That was really it. I mean we have like the land bank and conversions in West Cambridge, where we'll eventually tear buildings down and build by science. But in terms of the stabilized assets, that's it. 
Operator: Next question comes from the line of Vikram Malhotra with Mizuho. 
Vikram Malhotra: Maybe just first one, the -- you've talked a lot about the life sciences leasing pipeline, but I'm wondering if you can update us or just provide color on the watch list? Given the capital raising amount, I'm assuming it's lower, but any numbers, any magnitude or perhaps in other ways, like what's baked into the guide for the watch list? 
Peter Scott: Yes. Vik, it's Pete here. I think you've done a very nice job actually in your research talking about this. And what's happening is actually following suit with what's staying. The strong capital raising is certainly causing us to have a much lower tenant monitoring list. No, our monitoring list would be a tenant that's got less than 12 months of cash runway. And if you just want to put percentages on that, I'd say that list today is 50% of the size of what it was a year ago, continues to trend in the right direction. So it's down considerably.
 And the other thing I would just mention, we said this before, even in the best of lab markets, you're always going to have a couple of tenants. We've got 200 tenants. You're always going to have a couple of tenants that you're paying close attention to because it really comes down to the science and the success of the science and not necessarily always about the capital markets and ability to raise capital. 
Vikram Malhotra: Okay. That's helpful. Just second, I'm wondering, the HCA sort of programmatic deal you had in terms of MOBs was -- has been pretty fruitful. I'm wondering with the combined company now with physicians, is there a likelihood of a similar deal with another system? Or is that -- is it just given the capital environment, even hospital systems are just waiting on development? 
John Thomas: Vikram, it's JT. We have a lot of historical relationships across the portfolio. So we start -- we have kind of -- I hate to call it systematic, but routine kind of steady pipeline with a number of health systems in multiple states. So all highly pre-leased, all kind of outpatient services that are higher margin and that they need to kind of expand into kind of new markets for providing access to care in those markets. So it's pretty systematic across the board and just has to be at the right price and kind of the right markets for us to proceed, but pretty steady flow of kind of off-market relationship business. 
Vikram Malhotra: And then just one more, if I may. Just a clarification. I think on the medical office rent spreads, there was a 500,000-plus-square-foot deal that I think you noted was not in there or it would impact rents later on. Can you just elaborate upon that? Like when will that hit the rent spread metrics? And what was that? 
Thomas Klaritch: Yes. The -- that lease was a master lease with a system in Houston, and it covers basically 3 campuses. I do want to point out that we did do that lease internally, so we saved about $3.5 million of lease commissions on that deal. And we also had no TI contribution, and we eliminated our capital liability for 10 years. So it was a great deal. 
 Two of the campuses did have an increase. There's -- one of the campuses had a decrease. So we'll have an impact on mark-to-market in July of '25. I think it was 6% to 8% decline. But to me, that's a great deal if you get absolutely no capital for 10 years on 600,000 square feet. 
Operator: The next question comes from the line of Tayo Okusanya with Deutsche Bank. 
Omotayo Okusanya: Congrats on a solid quarter and solid improvement in outlook. I wanted to get some clarification on the MOBs and the synergies. When you do, do the next round of internalization -- the targeted internalizations, is that additional synergies beyond the $45 million that's been identified? Like was that going to be additional $20 million bucket that you've kind of talked about?
 And could you also talk to us a little bit about just the revenue synergies and how that hits also into maybe the $20 million additional revenue target you talked -- additional synergy target you've talked about? 
Thomas Klaritch: Yes, Tayo, it's additional, and it's actual net cash revenue that comes in. So we're really ahead of schedule on kind of internalizing markets across the portfolio, and there's more to come. So I think we've assumed kind of a couple of year plan to internalize most of the markets that we -- where we had scale and where it made sense. But it's net cash continuously, year after year after year net cash to the bottom line. 
Peter Scott: Yes. And then on revenue synergies, we've been pretty clear that, that $60 million run rate does not include revenue synergies, so that could be some upside, whether that's through better lease execution, better retention, better lease rates, so on and so forth, that would be upside. I think it's a little challenging to our articulator to go through what we think that is, but we certainly think that there are revenue synergies out there for us to get. 
Omotayo Okusanya: Got you. So the $60 million run rate is just from more G&A type operating expense type synergies that gets you from the $40 million to $60 million and then revenues or anything on top? 
Peter Scott: Yes, that's the right way to describe that. 
Operator: I will now turn the call back over to Scott Brinker for closing remarks. Please go ahead. 
Scott Brinker: Yes. Thanks for joining us, everyone. Good momentum here. Happy to talk about it today and look forward to seeing you in the coming weeks and months. Take care. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect.